Operator: Good day, ladies and gentlemen, and welcome to the Raytheon Third Quarter 2014 Earnings Conference Call. My name is Glenn, and I'll be your event manager for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to your host for today, Mr. Todd Ernst, Vice President of Investor Relations. Please proceed.
Todd B. Ernst: Thank you, Glenn. Good morning, everyone. Thank you for joining us today on our third quarter conference call. The results that we announced this morning, the audio feed of this call and the slides that we'll reference are available on our website on raytheon.com. Following this morning's call, an archive of both the audio replay and a printable version of the slides will be available in the Investor Relations section of the website. With me today are Tom Kennedy, our Chairman and Chief Executive Officer; and Dave Wajsgras, our Chief Financial Officer. We'll start with some brief remarks by Tom and Dave, and then we'll move on to questions. Before I turn the call over to Tom, I'd like to caution you regarding our forward-looking statements. Any matters discussed today that are not historical facts, particularly comments regarding the company's future plans, objectives and expected performance, constitute forward-looking statements. These statements are based on a wide range of assumptions that the company believes are reasonable but are subject to a range of uncertainties and risks that are summarized at the end of our earnings release and are discussed in detail in our SEC filings. With that, I'll turn the call over to Tom. Tom?
Thomas A. Kennedy: Thank you, Todd. Good morning, everyone. This morning, Raytheon reported solid quarter results, driven by strong operational performance across the company. Notably, our margins in the third quarter improved over last quarter due to solid program execution, and our book-to-bill ratio in the quarter was 1.07 as a result of global customer demand for our diverse range of solutions. Raytheon's broad and deep portfolio of advanced systems continues to be a key strength for the company. Overall, we performed well in the third quarter and continue to position the company for long-term growth. In the quarter, domestic bookings were solid and drove a book-to-bill ratio of 1.15. Demand in the third quarter came from across our domestic portfolio, including significant bookings from the FAA and other civil customers in addition to core defense. I would note that this is the second consecutive quarter with domestic book-to-bill ratio above 1. Turning now to the international market. The shifting geopolitical landscape and the evolving global threat environment are driving demand for our advanced solutions. And as we mentioned on the last call, Qatar signed an LOA for $2 billion Patriot integrated air and missile defense system with the U.S. government in early July. Since this is an FMS deal, the next step is for us to get a contract with the U.S. government. We are currently working through the process to finalize our agreement with the U.S. Army, and we expect to book an order before year-end. Another international booking opportunity we see in the fourth quarter is also for Patriot System. This is a $2 billion opportunity for 6 fire units. As we mentioned on the last call, we expect to book this before year-end. As we look beyond this year into 2015, we see continued demand for our core capabilities from our global customers, which highlights our alignment with our priorities. For example, there are a number of upcoming domestic opportunities in electronic warfare, including the Surface Electronic Warfare Improvement program, which is an EW system for ships; and the radio frequency countermeasures program, which is a Jammer receiver to protect special operations aircraft. These pursuits, along with other opportunities, represent meaningful future electronic warfare growth potential for the company. For cyber, we're winning new business and see significant opportunities developing in both our domestic and international markets. As we've discussed on prior calls, we expect a couple of large international Patriot decisions next year. These are for Poland's integrated air and missile defense system and South Korea's upgrade of their existing systems to Configuration-3 plus. These opportunities reflect ongoing global demand for our advanced integrated air and missile defense solutions. Domestically, we are in a competition for the Missile Defense Agency's long-range discrimination radar, a large radar to be utilized for homeland missile defense, which we expect to be awarded in 2015. We are well positioned for this competition. These are just a few of the many opportunities that we see developing in the year ahead. To position the company for long term, we continue to make investments in game-changing technologies. Today, Raytheon is a global leader in the effects market. By leveraging our world-class talent and focusing our IRAD efforts on developing the next generation of weapons systems, we are winning early technology programs now to remain at the forefront of this market in the future. We see 2 key areas where our customers are seeking more sophisticated capabilities: directed energy and high-speed weapon systems. In directed energy, we received a contract award in the third quarter to develop a vehicle-based, high-energy laser weapon system for the U.S. Marines capable of defeating low-flying threats. The Raytheon-built, high-energy laser will be packaged to meet the customer's demand in size, weight and power requirements for the weapon system. In high-speed weapons, the increasing importance of standoff strike capability and speed to target are driving customer interest and we are heavily engaged in this developing area. Raytheon has won a position on 3 key programs: hypersonic air-breathing weapon concept, the tactical boost glide and the conventional prompt strike. The first 2 are DARPA programs and the last one is for the U.S. Navy. While initial orders in both of these areas are relatively small, they are the seed corn for significant long-term prospects. Our investments in technology have been yielding results. For example, after the close of the quarter, the U.S. Air Force awarded Raytheon a contract for engineering and manufacturing development of the Three Dimensional Expeditionary Long Range Radar or 3DELRR, a new mobile radar that will detect, identify and track drones, missiles and aircraft. It's a versatile system that can be used for both ISR and missile defense missions. We believe 3DELRR has significant domestic and international sales potential over the next 2 decades. To win the competition, we leveraged many of the technology and manufacturing investments that we have made over the last 10 years. I should mention that this competitive award is currently under protest. But as we said before, that seems to be the new normal. In today's environment, while having advanced technology as a key discriminator, providing it at an affordable cost is just as crucial. To that end, we continue to aggressively implement lean manufacturing initiatives, execute our strategic sourcing plan across our supply chain, optimize our global shared services and reduce our footprint. The bottom line is that we are focused on driving cost savings and affordability for our customers and returns for our shareholders. This also helps us drive competitive advantage. In summary, I'm pleased with the overall results in the quarter. We are executing our strategy. We are delivering the performance and solutions our customers need. And we are building the foundation for long-term global growth. I'd like to thank everyone on the Raytheon team for all of their efforts in the third quarter and as we work to finish out a strong year. With that, let me turn it over to Dave.
David C. Wajsgras: Okay. Thanks, Tom. I have a few opening remarks, starting with the third quarter highlights, and then we'll move on to questions. During my remarks, I'll be referring to the web slide that we issued earlier this morning, so if everyone could turn to Page 3. We're pleased with the solid performance the team delivered in the third quarter. Bookings were $5.9 billion and sales were $5.5 billion, resulting in a book-to-bill ratio of 1.07. Operating margin was strong at 13.9%. EPS from continuing operations was $1.65 and was reduced by $0.06 per share to reflect the retroactive year-to-date impact of pension funding stabilization as part of the highway bill enacted in August and actuarial updates related to our pension plans. And just to be clear, the $0.06 per share is comprised of $0.11 per share due to lower CAS expense, partially offset by $0.03 per share for the favorable impact from the reduction of the effective tax rate and $0.02 per share for the actuarial updates that I just mentioned. On an adjusted basis, operating margin was strong at 13.2%. Adjusted EPS in the quarter was $1.57. We also generated solid operating cash flow, $423 million for the quarter. The highway bill lowered cash flow by about $50 million in the quarter and will impact full year by about $150 million. During the quarter, the company repurchased 2.1 million shares of common stock for $200 million, bringing the year-to-date share repurchased to 6.8 million shares for $650 million. Turning now to Page 4. Our total company bookings for the quarter were $5.9 billion, an increase of about $200 million compared to the third quarter 2013. And on a year-to-date basis, bookings were $16.9 billion, an increase of approximately $2.3 billion over the same period last year. On a trailing 4-quarter basis, our book-to-bill ratio was 1.08. For the quarter, international bookings were 24% of total new awards and on a year-to-date basis was 28%. For the year, we continue to expect international to be in the range of 35% to 40% of total company bookings. As Tom just mentioned, we have significant international opportunities that we expect to book in the fourth quarter. We continue to see our full year 2014 bookings to be in the range of $23.5 billion, plus or minus $500 million. This would result in a book-to-bill ratio of between 1.0x and 1.05x. Backlog at the end of the third quarter was $33.2 billion, up $1 billion compared to the same period last year and funded backlog was $22.9 billion, up approximately $700 million, again, compared to last year's third quarter. Now on Slide 5. For the third quarter 2014, sales were $5.5 billion and year-to-date were $16.7 billion. International sales were approximately 30% of total sales in the quarter and were up just under 4% compared to last year's third quarter. IDS had third quarter 2014 net sales of $1.4 billion. The change from Q3 2013 was driven by the completion of the production phases on a couple of international Patriot programs. IIS net sales of $1.5 billion in the quarter were relatively consistent with the same quarter last year. Missile systems had third quarter 2014 net sales of $1.5 billion. As expected, we saw lower sales from U.S. Army programs. Sales were also impacted by the planned transition from development to production on Standard Missile-3 in this year's third quarter. And SAS had net sales of $1.5 billion. Lower volume on intersegment sales was the primary driver when compared to last year's Q3. Excluding the reduced intersegment sales, SAS's sales were in line with the third quarter 2013. Now moving to Page 6. Overall, the company margins were strong and exceeded our guidance. Our reported operating margin was 13.9% and on an adjusted basis was 13.2%. On a year-to-date basis, our operating margin was 13.8% and 12.6% on an adjusted basis. As most of you know, recent pressure on the Defense budget has been driving the Defense Department to look for innovative ways to deploy resources more effectively. One of these ways has been the rollout of DoD's better buying power initiatives. Along these lines, we continue to find ways to reduce the total price of our offerings, leverage exportability and strengthen competitiveness. We're making thoughtful investments in technology with the objective of lowering program development and production costs and positioning Raytheon to further expand internationally, while improving our global competitive posture. We're doing this while maintaining a focus on strong margins. So looking at the business margins. All were up sequentially from the second quarter. Strong operating performance across our businesses, combined with our focus on execution productivity and efficiency, continues to be reflected in our financial results. At missiles and SAS, margins were higher than the same period last year. Solid overall program performance drove improvement at both businesses. At SAS, we experienced strong material and labor efficiencies, particularly with tactical airborne systems production. The change in IDS was primarily driven by a few international air and missile defense programs nearing completion. And at IIS, we saw higher net program efficiencies in last year's third quarter. Overall, the company is performing well. Turning now to Page 7. Third quarter 2014 EPS was $1.65 and on an adjusted basis was $1.57. EPS for the third quarter 2014 was better than expected, primarily due to the improved tax rate and overall margin performance. On Page 8, we are updating the company's financial outlook for 2014, which now includes the recent enactment of the highway bill. Based on our performance year-to-date, we've narrowed our sales range guidance, raising the low end by $200 million. We now expect our full year 2014 net sales to be in the range of between $22.7 billion and $23 billion. And we have -- and as we have done in prior years, during the third quarter, we updated our actuarial estimates related to our pension plans. As a result of this update and the enactment of the highway bill, the FAS/CAS adjustment for the year decreased by $59 million from $346 million to $287 million or $0.12 per share. We repurchased 2.1 million shares of common stock for $200 million in the quarter and have narrowed our diluted share count to be in the range of between 312 million and 313 million shares for 2014, which would be a 4% reduction at the midpoint compared with full year 2013. Now I'll address the updates to our EPS and changes to our tax outlook in just a minute. As I mentioned earlier, operating cash flow in the quarter was solid and we expect it to remain strong in Q4. I do want to point out that our updated 2014 guidance for operating cash flow is slightly lower, reflecting the implementation of the highway bill, which is expected to have an approximate $150 million net cash impact. This is due to both the lower cash recovery and higher cash taxes, which together, more than offsets the lower required pension contributions. We now expect our 2014 guidance for operating cash flow to be between $2.15 billion and $2.35 billion. Turning now to Page 9. We've provided you with a walk, showing the change to both our GAAP and adjusted EPS outlook for 2014. You'll note that we raised our full year 2014 adjusted EPS guidance on the high end by $0.10 due to the lower expected tax rate for the full year. And given our confidence level, we've narrowed the range. Adjusted EPS is now expected to be between $5.91 and $6.01 for 2014. As a reminder, we've not included in our 2014 guidance the potential extension of the R&D tax credit. The change in GAAP EPS includes the $0.10 for the tax improvement and also includes the $0.12 reduction in the FAS/CAS adjustment that I've mentioned a moment ago. We now expect full year 2014 EPS to be between $6.77 and $6.87. Now if you'd move to Page 10. We've raised SAS margins to reflect the stronger year-to-date performance, narrowed the range for IIS and missiles and lowered IDS's margins to reflect business performance year-to-date. With that said, the fourth quarter for IDS is expected to be strong. For the company, we see adjusted operating margin to be in the range of between 12.7% and 12.8% for the full year. Before moving on to Page 11, I wanted to make you aware that we've entered into a definitive agreement to acquire a privately held company in our core defense business for approximately $400 million. We expect the closing next month after completing normal regulatory reviews and approvals. Given that this acquisition is still under regulatory review and subject to a nondisclosure agreement, we're unable to comment further until it closes. So if you could please move to Page 11. We have provided a FAS/CAS pension adjustment matrix for 2015, as we've done in prior years. It does include the estimated impact of the highway bill. And just to be clear, the discount rate and the actual asset returns won't be known until we close out 2014. As you can see on Slide 12, we've provided an outlook for required funding and CAS recovery that include the impact of the highway bill compared to our prior outlook from last January. Required pension contributions are decreasing from both the prior outlook as well as sequentially from 2014. CAS recovery still increases, although at a slower rate. This has a favorable impact on our pretax net cash flow over the forecast horizon. Again, markets are volatile and asset returns will change before year-end, which will affect these estimates. We'll provide a more detailed pension outlook on our January year-end call. Before concluding, let me take just a moment to bring you up-to-date on e-Borders. As we announced on August 15, we received a decision from the arbitration tribunal in connection with the proceeding between Raytheon Systems Limited and the U.K. Home Office that the UK Border Agency unlawfully terminated RSL. As a result, we were awarded approximately $300 million. The Home Office has since filed a challenge to the decision. Payment of amounts awarded to Raytheon is now pending resolution of the challenge. As such, we have not included the impact in our third quarter results or in our full year guidance. Due to the ongoing legal matters, we cannot comment further at this time. So in summary, we saw solid performance in the third quarter. We have strong bookings and strong margins. We expect to close out the year with a number of new awards that establishes a solid foundation for the future. Combined with our strong cash flow and balance sheet, we believe we're well positioned to continue to drive value for our customers and our shareholders. With that, Tom and I will open up the call for questions.
Operator: [Operator Instructions] And your first question comes from the line of Joe Nadol with JPMorgan.
Joseph B. Nadol - JP Morgan Chase & Co, Research Division: I would love to ask you more about your $400 million acquisition, but I know you said not to do that.
David C. Wajsgras: I know you would, Joe, but we just can't talk about it.
Joseph B. Nadol - JP Morgan Chase & Co, Research Division: No, I understand. But you said it was in your core defense area. I noted that one of your competitors made an acquisition in the last week or so, a $200 plus million acquisition in the commercial cyber area, which is something that you guys have expressed some interest in. And talking about BAE, just to be specific, Tom, I was wondering if you could update us on your thoughts on that area.
Thomas A. Kennedy: Yes. As we mentioned on past calls, our first priority is growing the company organically. And I did talk on just prior to this, relative to all the technology investments that we have made over the last 10 years and they're coming to fruition now in terms of the wins. We just -- I talked about 3DELRR and I mentioned it's in protest. But I think that was a big win for Raytheon and we'll work through the protest. But also in the last year, we also won Next Generation Jammer, Air and Missile Defense Radar and also FAB-T. So this focus on the organic growth is working. The other areas -- we are looking in taking a disciplined approach for acquisitions in our core markets. And one of our core markets is cyber. And so we are looking at that area. And we'll continue to look at acquisitions to fill gaps in our core markets as we proceed forward.
David C. Wajsgras: So Joe, we have talked about our focus on growth. Tom has made that a top priority for the company. We are firstly focused on organic, but growth through acquisitions where it makes strategic and economic sense will also be part of the equation. So this really shouldn't come as any surprise. We have a very healthy balance sheet, strong cash balances, continue to see strong cash flows. So this is just one of our -- one of the elements of capital deployment that we've talked about, certainly, over the past year, 1.5 years.
Thomas A. Kennedy: And Joe, just back to your question on cyber. We mentioned that on an earlier call, that we had gotten a major award from an international customer. So we have gone into the international marketplace relative to cyber, government cyber work. We also received an announcement here internally kept, but for another international customer this quarter. And so we are off and running relative to strong cyber work in the government arena on the international side as well as the domestic.
Joseph B. Nadol - JP Morgan Chase & Co, Research Division: Okay. And then just one more, which is on the IDS side. You took down your margin expectation a little bit for the year and you mentioned it was just based on what you've done year-to-date. I was wondering if you could give a little more color. Is that based on -- largely on timing of the Patriot awards that you expect here soon that are coming a little later in the year than maybe you originally thought? Or is there something else there?
David C. Wajsgras: Yes. So that's a fair question. IDS's fourth quarter margins are expected to be in the high 16% to low 17% range. So as I said a few minutes ago and Tom alluded to as well, it's a very strong quarter for IDS. For the full year, we've lowered the IDS margin range to between 15.7% and 15.8%. And as you just mentioned, it's primarily based on year-to-date performance. More specifically, within the fourth quarter, we see stronger margins than the year-to-date run rate, driven by some customer and program milestones related to risk retirement. Mix isn't a significant factor. I'll tell you this again, mix is not a significant factor in the fourth quarter, as we have some mature production programs nearing completion that are offset by the impact of the new starts. So again, we're seeing a strong fourth quarter, strong margins, good productivity. It's just slightly lower than what we had expected earlier.
Operator: Your next question comes from the line of Doug Harned with Sanford Bernstein.
Douglas S. Harned - Sanford C. Bernstein & Co., LLC., Research Division: Just continuing on IDS. You talked about the fact that you're ramping down on some international missile defense-related contracts and you're going to be ramping up on others. And then in the meantime, you certainly have U.S. missile defense sales that often, I think, fill in gaps of there. But how should we expect the profile of these revenues to look? I mean, should we see a lull of new work starts? Or can this stay pretty constant through new programs?
Thomas A. Kennedy: Yes. I think IDS -- I mean, it actually had a very good quarter. And so we're definitely pleased with their performance and that they also had strong bookings sales and are looking forward into the fourth quarter and 2 large international bookings that will be coming in on the fourth quarter. So we -- bottom line is IDS is very strong. And we see the revenue maintaining through the fourth quarter and then into the next year. So I think bottom line is, we believe IDS is solid moving forward.
David C. Wajsgras: So let me just add a little bit to what Tom just mentioned. So third quarter sales were down from the prior year and slightly down, which is what Tom was alluding to, from our expectations. We had assumed that Qatar Patriot award at the end of the third quarter and it's moved into now the fourth quarter. We do see a quick ramp on the Qatar program in Q4 as well as the other international Patriot award that Tom again mentioned just a few minutes ago, which combined, drive the fourth quarter sales growth. We've been working with our supply chain to prepare for these awards. And you'll note that we did build some inventory over the last couple of quarters. We've built ahead and we've done this before, and we'll recognize the revenue upon award during the fourth quarter before year-end. So I hope that helps.
Douglas S. Harned - Sanford C. Bernstein & Co., LLC., Research Division: No, that does help. And then related to this, when you look at some of the positive trends out there -- but this is probably terrible to refer to as positive. But you talked about the global threat environment and how this is something that Raytheon can -- is going to increase demand for Raytheon products potentially. Could you give a little more clarity on that? In other words, when you look at some of the situations in the world right now, such as in the Middle East, are these things that lead you to believe there may be more demand in the near term for -- within some of your business units?
Thomas A. Kennedy: Let me start in Eastern Europe. And I mentioned on my discussions upfront that we're in a major competition in Poland for an integrated air and missile defense system, and that's had a heightened sense of urgency in Poland relative to the activities going on in Eastern Europe, especially relative to Ukraine. So we do see that kind of coming, moving a little bit to the left into 2015. As we move over to the Middle East, I mean, it's -- you see this in the paper every day, ISIS is right now the big overarching threat and it's more of a tactical-type threat and more effects based. And it was released in the newspaper about a quantity of Tomahawks that were used in the initial days of our efforts there. So in the area of effects, we would see a need in the future to replenish the effects that were used. The -- as we also look at the Middle East, we do see a strong sense in having -- and this is based on my visits to a majority of the countries in the region here in the last 3 months. I think it kind of sums up in the following words, and I heard it in all these different countries from senior leaders of the countries, and that is a strong defense is a strong deterrence. And they were using that in light of integrated air and missile defense. And so you'll see that we completed a major effort in the UAE on Patriot upgrades. We are now into working with Lockheed on the THAAD system and other TPY-2 radars in that country. We move over to Saudi, we're working several projects in Saudi Arabia relative to improving their defense posture. You heard about the Qatar deal, which the first part of it is the Patriot. The second part of it is an early warning radar. And then there's also an air defense operating center that's in there. And then eventually, they'll buy THAAD, which has TPY-2 radars in it. So again, a strong position in Qatar moving forward. And bottom line is the -- we are well positioned in that region for growth relative to our core products. So I don't know if that helps, but it's -- our business is driven by the threat. There is a threat. And that's increasing -- it's increasing demand for our proven technologies and also new technologies, as we see in the awards that I mentioned earlier on the call.
Operator: Your next question comes from the line of Robert Stallard with Royal Bank of Canada.
Robert Stallard - RBC Capital Markets, LLC, Research Division: Dave, I thought we'd kick it off on the cash front. It looks like you're having $1 billion of cash over the next couple of years. What do you intend to spend it on?
David C. Wajsgras: You picked right up on that, Rob, didn't you? Yes. So look, the company doesn't anticipate any wholesale changes to the way we've talked about capital deployment. We've had, I think, a policy that has served the shareholders well with respect to a balance around capital deployment, with respect to dividends and share repurchases. We've funded the pension plan, from our perspective, appropriately. We've invested in our sales. Tom mentioned a couple of technology investments we've made. We're going to continue to do that as we move forward. There is a cost obviously associated with consolidating footprint or improving utilization. So we'll continue to invest in ourselves from that perspective as well. I mentioned to one of your colleagues earlier, relative to acquisitions and smartly investing in acquisitions that make strategic sense and importantly, financial sense, both in the near and longer term. So the short version is we understand our cash position quite well, and we continue to look for ways to best drive both near-term and long-term shareholder value.
Robert Stallard - RBC Capital Markets, LLC, Research Division: Okay. And then as a follow-up. Your book-to-bill has been over 1x over the last 12 months and year-to-date. When do you expect this book-to-bill to actually translate into revenues?
David C. Wajsgras: Yes. So we've talked about this in the past. We have, even as far back as last year, we had seen the back half of '16 and as we go into 2017, as the reversal of the trend that the sales line has been on over the last 3 or 4 years, we still anticipate that being the case. The bookings are coming in quite strong, both domestically and internationally. So over time, we see growth returning to Raytheon. And again, this is almost exactly what we had said about a year ago.
Operator: Your next question comes from the line of Jason Gursky with Citi.
Jason M. Gursky - Citigroup Inc, Research Division: First, a question for you, Tom, and one for Dave. Can you just talk a little bit about the structural outlook for the margin...
Thomas A. Kennedy: Yes, could you repeat that?
Jason M. Gursky - Citigroup Inc, Research Division: Yes. Sorry about that. So first about outlook for margins and the fact that you are guiding to 35% to 40% of your bookings this year coming from the international marketplace. What does that portend for margins structurally as we move out over the next 3 to 5 years, let's say? Are we looking at a margin rate that should be -- the bias should be a little bit higher than where we are today?
Thomas A. Kennedy: I would say, right now, you hit it right. On international -- part of our international work in terms of percent of sales has been increasing. And right now, we're -- about 30% of our revenue comes from international. We also have a backlog to date of 37% international, which we believe will end the year greater than 40% of our backlog will be international. Traditionally, our international has been a higher margin business. Right now, we are looking conservatively to the future, even taking that in consideration. And we are looking at our margin performance continuing as it has been in the past. Margins are very important to us. We drive them in the business. We really look at trying to take to take as much cost out of the business. And we really work on the type of contracts that we go after and pursue to make sure that they will be profitable programs. And that's, I would say, a #1 priority for the Raytheon Company, and we will continue to support that position.
Jason M. Gursky - Citigroup Inc, Research Division: And then -- that's helpful. Dave, for you, just going back to the prior question about cash flows and spending. Can you also just loop in your updated thoughts here on the balance sheet as well? I mean, obviously, you have a very strong balance sheet. How do you -- where do you sit relative to the optimal capital structure, your view on your debt rating with the agencies? And how should investors think about the cash flows that you're generating and the potential use of cash -- excuse me, the balance sheet to support all of these potential activities that you've got out there?
David C. Wajsgras: Sure. So a strong balance sheet is one of the issues that I don't see a problem dealing with, okay? We're pretty pleased that it's not the other end of the spectrum. So understanding that, we -- the rating -- the target rating for us would not go any lower than a BBB+ as we sit here today and look out. I know the rating is slightly above that, given the strength of the balance sheet and net debt position, the outlook for cash flows. Going forward, again, I'm not going to repeat everything I just mentioned a moment ago on capital deployment. From a leverage position, we think we're in a relatively good position today. Could we afford some more leverage on the balance sheet and maintain the rating? Yes, we could. So I think the way that investors should view Raytheon is we're in a strong position financially. We're not going to sacrifice the strong position financially. It gives us the ability to pull multiple levers to drive value from an investor's perspective without putting too much risk on the company, risk from a financial perspective.
Operator: Your next question comes from the line of John Godyn with Morgan Stanley.
John D. Godyn - Morgan Stanley, Research Division: Dave, to one of the prior questions, you made the comment that deals need to have an impact in the near and the long term. I was hoping that you could just sort of take the opportunity to remind us what you've either said in the past or maybe offer some new commentary on the broader framework for M&A. It doesn't seem like M&A will be going away necessarily anytime soon. When you typically think about a deal, how quickly do you hope that they're accretive? How do you think about return hurdles versus maybe the internal hurdles in the company? How do you think about synergies, risks, deal size? Any -- the broader philosophy here, I think, would be helpful.
David C. Wajsgras: Sure. So -- and I'll do this in a summary way. Any deal that we end up executing will have a return profile well in excess of the company's weighted average cost of capital, part one; part two, as we look to fill gaps from a product technology or channel standpoint, and that's what makes these acquisitions attractive; number three, is with respect to accretion, we would target for these deals to be accretive after about 2 years, but certainly not much after 3 years. The deals we've done to date have by and large turned out to be quite successful and have returned incremental value. I'm not going to get into the specifics, but we recently looked at this. Incremental value that is meaningful from a shareholder's standpoint. So I don't know, Tom, if you want to add anything from that perspective?
Thomas A. Kennedy: No. I would just like to address the gaps. As part of our strategic process we go through is we do identify the gaps and in being able to achieve the growth that we expect from our strategy. And as part of that gap, we look at either internal investments or look at acquisitions to fill those gaps in the most cost-effective manner and also relative to speed and agility. And so that's really how we look at it. And that's obviously addressing the synergies that we get by buying these companies.
David C. Wajsgras: And just one last point. With respect to size of acquisitions, I know you're aware of this. I think most people are. We have not been very active in the M&A market for the last couple of years, by design, for a number of reasons. With respect to the size of the acquisitions, it's probably not in investors' best interest or the company's best interest to handcuff ourselves to a certain amount. Certainly, I don't see a problem with doing deals larger than we've done in the past. But again, I think the most important thing is, when we look at acquisitions, we want to make sure that we can maintain the type of capital deployment plan, execute the type of capital deployment that we have in the past, and we don't want to sacrifice one for the other. So that's probably the best way to think about how we're thinking about size of acquisitions.
John D. Godyn - Morgan Stanley, Research Division: Great, that's very helpful. And if I could ask one quickly on Patriot. Assuming the Cutter deal goes through, you'll have quite a lot of Patriot business hitting at the same time. And I'm curious if you can just speak to -- I know it's hard to put a number on it. I'm not necessarily looking for that. But what does that mean for margins? I mean, I imagine a scenario where you're layering shift on top of shift. I mean, it seems like it could be pretty impactful. Anything you can offer there would be helpful.
Thomas A. Kennedy: Well, the more you load up the factory, the better the financial performance of the programs are. And so bottom line is we'll have the Qatar program going through and another major program going through at the same time. So we do expect improved efficiencies on the production side, which then translate into good margin performance in the out years. Now we do traditionally at the beginning of the program, we start off at lower margins on a per basis on each of the programs as we build confidence and reduce risk moving through, for example, risk on our supply chain or other elements, whether we do increase the margins through the lifetime of the program. That's just the traditional way that we do it from -- to control risk. I don't know. Hopefully, that helps.
Operator: Your next question comes from the line of Sam Pearlstein with Wells Fargo.
Samuel J. Pearlstein - Wells Fargo Securities, LLC, Research Division: Dave, you had talked about investments you're making to lower cost and -- as one of the things with Better Buying. And I guess, I'm trying to just think about, is this something that in a way is driving down revenues because of cost-plus work? And is there any way you can quantify what the impact of that might be?
David C. Wajsgras: Well, let me start -- I'm sure Tom has something to add. We started talking about this a few years ago, and we spoke to it pretty directly early in the year on the January or first quarter call. I don't remember which one. We've been investing in technology through a number of different vehicles for a while. Tom mentioned a few new programs that we have with DARPA. It's important to understand that when we invest in technology programs -- I'll use Tom's words, these are seed corn for the future. So by definition, these are not high-fee or high-margin programs. They're well below the average company margins. So that's one form of investment. There's direct investments through our IRAD, and that runs roughly speaking $300 million to $400 million a year. There's investment from a program perspective. Tom spoke on one of the calls about the Patriot System and how an earlier international program essentially was set so that we could invest in new Patriot capabilities and technologies. And that's what's being basically sold across the globe today. So there's varying ways to think about investments. Tom, I don't know if you wanted to add something to that?
Thomas A. Kennedy: Yes. And getting the cost out is obviously driven to improve our financial performance. But also our customer has a need. And I'm sure you've heard about the Better Buying Power, that OSD's initiatives that they're running. We are working with our customers to drive additional cost out of our products. And part of that is, as you said, reducing our footprint. We're driving and optimizing our global shared services part of our business to get cost out. We also have fully implemented strategic sourcing across our entire business to essentially improve our cost perspective relative to our overall supply chain. And so it's -- we -- and it's been very successful as we move forward. Now working with our customer, we understand that there's -- they need more for less. And so it is important for us to make sure that we deliver products that meet their capability needs but at a cost that they can afford. And we've been doing that and you can see some of the wins we had. The FAB-T program is a prime example of their use of competition. And we believe that we're significantly in line with what our customer wants to do in terms of cost.
Samuel J. Pearlstein - Wells Fargo Securities, LLC, Research Division: Okay. And then Dave, in terms of the pension slide on Page 11. Is there -- where would we be if the year ended right now in terms of that grid?
David C. Wajsgras: Okay. If the year ended today, the returns are roughly -- the actual returns are roughly about 3%. It's important, it has been -- the markets have been exceptionally volatile in the past, I don't know, 4, 6 weeks. There's been a selloff of about 8% -- 7% or 8% from a broader market perspective. Historically, the fourth quarter is the strongest quarter of the year. So it's very hard to handicap how this plays out. And -- but today, we would be at about 3%. If you're thinking about the discount rate, last year was pegged at 5.1. If you look at the past month, there's been a lot of movement in interest rate markets as well. I'm sure you're aware of that. We would be down, roughly speaking, 50 to 75 basis points, again, if you look at it from a month ago to roughly where we are today. The one thing I just -- I want to say this again, I probably said it 3 or 4 times. This is a point in time and I'm pretty confident when I tell you it's absolutely going to change by year-end, okay?
Samuel J. Pearlstein - Wells Fargo Securities, LLC, Research Division: Okay. And one last quick one. It's just the Other, net of $234 million in the cash flow, what was that? What does that mean [ph]?
David C. Wajsgras: Yes. There was a settlement that we had relative to a long-dated pension litigation with the U.S. government. It goes back to -- prior to 2000 that was settled. That was a big piece of what's in there.
Operator: Your next question comes from the line of Myles Walton with Deutsche Bank.
Myles A. Walton - Deutsche Bank AG, Research Division: I was wondering if we could start on a clarification first. Was there any cume catch in the segments from the CAS adjustment. Northrop called one out and Lockheed didn't. I just didn't know if there's one for you guys.
David C. Wajsgras: Yes. No, I saw that, and we looked at it obviously. For us, I'll use my term, it was a bit of a rounding error. What we call the flow-through was under $10 million spread across 4 different segments. So it does impact all companies differently. It depends on overall percent of completion, your mix of fixed price versus cost-type business. There's a lot of elements that go into that. But for us, it was not meaningful.
Myles A. Walton - Deutsche Bank AG, Research Division: Okay, great. The real question was on sales target for the year. And given the sales kind of what you're shooting for in the quarter didn't come through, you did raise the low end of the guidance range. Even at that low end, I think it would be one of the more bountiful sequential growths you've had from a 3Q to 4Q. You talked about IDS, and that's dependent on securing contracts. And then missiles is the other big moving target. Is there something there you need to secure as well? And it just seems like you'd put a little bit more factoring behind a lot of this to maybe not have brought up that guidance range.
David C. Wajsgras: Yes. So good question. Let me just -- I talked about IDS earlier. So I won't go over that segment again. With respect to missiles, the most important metric from that business's perspective is the book-to-bill, which is 1.11 year-to-date. So we do see a fairly healthy ramp in Q4 on their year-to-date bookings, and that's why you're seeing very strong sales in Q4. So the combination -- and you nailed it, the combination of IDS and missile systems have a fairly meaningful impact from a company level perspective in the fourth quarter.
Myles A. Walton - Deutsche Bank AG, Research Division: I mean, missiles was 1.6 in the second quarter. And obviously, it didn't lead to anything in the third quarter. So it's just it will come, you have it in hand and it's just delivering what you have.
David C. Wajsgras: Yes. That's why I wanted to go to the book-to-bill. That's right.
Operator: Your next question comes from the line of Howard Rubel with Jefferies.
Howard A. Rubel - Jefferies LLC, Research Division: One of the things that you've been doing internationally has been partnering. Could you expand upon that a little bit? For example, in Poland, it looks like you have a low-cost missile. You want to integrate onto Patriot and then you've done some things with Kongsberg in Norway to expand the portfolio. How does that help you maybe in the intermediate term? And also does that mean you have a Patriot 3 -- PAC-3 solution in hand or close to it?
Thomas A. Kennedy: Let me start off with the partnering, and I'll give you a kind of a phrase. We partner for success. And it does help on the international marketplace to be able to partner with strong companies, for example, Kongsberg. You mentioned there is another activity in Poland, another competition that's not Patriot. It's for the -- more in line with our NASAM system. That's a system that protects the nation's capital. You're correct. We are partnering with Kongsberg in that pursuit in Poland. And we think we're in a very good position there. We also have partnered with Kongsberg in Oman on the NASAMS award that we got last year. So we do work with them. We also have a joint venture with TALOS Raytheon systems. Again, we partner with different companies to -- essentially for success and where it makes sense. Relative to a new low-cost interceptor for Patriot, that's just in our overall Patriot road map to continually -- to evolve that system into its next generation. Right now, we have something called Configuration-3 plus. That was a result of the major development activity funded by the United Arab Emirates that has taken Patriot to essentially state-of-the-art technology. And -- but we are going beyond that. We are working solutions for AESA radars for Patriot. We also are looking at reduced-cost interceptors and other C2 and C4I capabilities for the Patriot System. That continues -- we continue to do that, so that we're relevant in the marketplace, and that we continue to win business across the globe. I hope that helps, Howard, but that's how we do business.
Howard A. Rubel - Jefferies LLC, Research Division: Well, it expands the footprint and the partnering.
Thomas A. Kennedy: Exactly. Expands the footprint, and sometimes certain companies have a better footprint in certain countries. And by partnering, you can be more competitive in the marketplace.
Howard A. Rubel - Jefferies LLC, Research Division: And then for Dave, just a follow-up on Sam's pension question. So if we kind of looked at where we are today versus where we were a year ago, the difference is on the order of $300 million. Is that a fair way to think about it?
David C. Wajsgras: Today versus what we have -- what we would have talked about in January -- are you talking about -- what year, Howard?
Howard A. Rubel - Jefferies LLC, Research Division: I'm sorry. Well, 2015 FAS/CAS outlook versus what you had in January for...
David C. Wajsgras: Yes. If you put a stake in the ground, I actually think it's a little bit north of that. But again, I would urge you not to reach any conclusions based on the spot market today, especially with respect to the returns. The other thing I would ask you to look at is the cash flow over the next 3 years, which increases substantially as a result of the highway bill. But you're right. I mean, point to point, you're right. That's the arithmetic. That's the grid. But as you well know, between now and year-end, things will definitely change.
Todd B. Ernst: Okay. We're going to have to leave it there. Thank you, everyone, for joining us this morning. We'll look forward to speaking with you again on our fourth quarter call in January.